Operator: Good morning, ladies and gentlemen. Today is Wednesday, September 17, 2014, and welcome to the Butler National Corporation First Quarter Fiscal 2015 Financial Results Conference Call. [Operator Instructions] Your call leader for today's call are David Drewitz, Creative Options Communication; Clark Stewart, President and CEO; Craig Stewart, President of Aerospace Group. I would now hand the call over to Mr. David Drewitz. Mr. Drewitz, you may begin. 
David Drewitz: Thank you, and good morning to everyone. Before Mr. Stewart begin, I would like to draw your attention to: Except for historical information contained herein, the statements in this conference call are forward-looking and made pursuant to the Safe Harbor provisions as outlined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties, which may cause Butler National's actual results on future periods to differ materially from forecasted results. Those risks include, among other things, the loss of market share through competition or otherwise; the introduction of competing technologies by other companies; new governmental, safety, health and environmental regulations, which could require Butler to make significant capital expenditures.
 The forward-looking statements included in this conference call are only made as of the date of this call, and Butler National undertakes no obligation to publicly update such forward-looking statements to reflect the subsequent events or circumstances. Important factors that could cause actual results to differ materially from the expectations reflected in the forward-looking statements include, but are not limited to, factors described under the caption Risk Factors in the company's annual report on Form 10-K filed with Securities and Exchange Commission.
 So with that completed, I would like to turn the call over to Mr. Clark Stewart. Mr. Stewart? 
Clark D. Stewart: Thank you, Mr. Drewitz, and welcome, everyone, this morning to this call. We apologize for being late. We had a thunderstorm, rainstorm or something, and we've had little water flooding and we also had some electrical problems with the phone system, but we got one to work. So we're pleased to have you with us today. And this is the quarter 1 fiscal year 2015 call. And I have Craig Stewart here, President of Aerospace; and I have Tad McMahon, Director of Accounting with me today, and we'll try to answer your questions and bring you up to date on what's happening here.
 You should have seen the press release by now and the 10-Q filed with the SEC. It should have been on all your electronic media if you wanted to look at it. Our revenue was up almost $11 million from $12.4 million -- or down from -- yes, up from -- down from $12.4 million last quarter. And last year, that's down about $1.4 million -- I've got it backwards. $10.4 million this year ago, 2013. Anyway, I'm looking at the front page of -- they're telling me I'm all wrong. I'm looking at the front page of the press release. $12.3 million for -- that's quarter 11 [ph], right? There we go. That's $1.4 million up, got it. And however, we are down from the quarter ended April 30, 2014, which probably bothers me more than anything else, up $2.2 million.
 Operating income was up to $806,000 from $143,000, $663,000 to go along with our $1.4 million increase in revenue year-over-year. Same thing, we have increased earnings, $252,000 after tax from the loss of $289,000 after tax a year ago, so that's up $541,000. So basically, we got home with a little over between 30% and 40% of that increased revenue, which is what we wanted to do.
 Our obligations are down from last year about $3 million, and they're about $700,000 down from the quarter just ended in April. I think that is a good move. We're bringing the debt down, which we have to do if we're going to execute the other plans that we have. [indiscernible] equity is up, as you would expect. And our R&D is up from $196,000 a year ago to $405,000 this quarter, which is another $200,000 into the lifeblood of the company, which is the development of new products as the market changes.
 We had spent more of that a year ago, but last year, it was $551,000, and down to $405,000, and that's a reduction because we didn't have the money to spend.
 So that's the overall picture. I'm very pleased that we did what we did. I think that we have -- are sharing the same market conditions at our casino as the rest of the industry is, which were down about 8% from last year on revenue. Costs were down 5%, operating income's down from $792,000 to $443,000. So it's gaming in the fall, you all understand it's a lot tougher than it is in the spring and the summer. So we're trying to maintain about $3 million of revenue stream there for month [indiscernible] minimum for fall.
 The backlog is sitting at $4.4 million as of the second. This is down from $5 million at July 31. It was $10 million in July -- or January of 2014. That $10 million was reflective of the fact that we had a surge of orders in November and December and January. But we couldn't recognize the revenue because we hadn't done enough completion to really, really book the revenue. As a result of that, as those completed in the quarter ended April 30, 2014, it gave us a much higher revenue and contribution than we probably expected or that anyone expected. And we've settled down now to a pretty level production rate here in the Aerospace side of it, and that's reflected in the quarter ended July 31. I'll ask Craig and Tad to comment on the Aerospace section. I'm not going to say anymore about that for now. I'll let them comment on that, and then we'll take up our old business questions from the last meeting. We have some information. 
Craig D. Stewart: All right, thank you. On the Aerospace Products, we had a good quarter in the quarter ending July 31. Our revenue increased to $4.8 million, that's up significantly over last year. That's probably a pretty standard run rate going forward, somewhere between $4 million and $5 million is a pretty typical, and we'd be pleased with that run rate going forward if we can maintain that. That will continue to contribute good money to the bottom line.
 Operating profit of $363,000 was a good quarter for us in Aerospace and I think more reflective than fourth quarter of what we expect going forward. We had some pent-up demand that finally came through in the fourth quarter. So this is more of a normal run rate. We may exceed that at some quarters or maybe a little bit below that at other quarters. But that's more in line with what we're kind of equipped to handle on a quarterly basis.
 The backlog, I think one of the biggest things, in addition to the pent-up demand, was we had a significant order that was out about 9 months when we got it in January, February. That has been worked off, and we're getting closer to the delivery of that aircraft. So that's -- that falling off of the backlog has been a significant item coming off of there, but the backlog still goes out probably about 3 months. So we're comfortable with the demand is there, and the amount of new orders that we're getting on a daily basis is strong. So we're excited about where things are going with Aerospace group. And I think we're ready for the -- discuss the questions from last time. 
Clark D. Stewart: Thank you, Craig. We discussed the number of items at the last time about stock purchases and various plans. And we've had some questions from people wanting to buy shares and other transactions. Just like that, can you all hear me? David, can you hear me okay? 
David Drewitz: Yes. 
Clark D. Stewart: Okay. And that's -- those items will about to just go down the list here, the stock purchase plan for insiders. We've been discussing that with our attorney. The attorney says that one of the requirements of that is that we are relatively free of insider information at any time that, that would have to occur. That is a tough thing to comply with for a small company like this because, for example, on Friday, I got a phone call, Thursday or Friday, I got a phone call for a roughly $400,000, probably $800,000 order. The airplane showed up on Monday. And that's insider information. And if we had the purchase plan in place, the attorney said you'd be in big-time violation, but you knew that, and then you went out and purchased. And so we've kind of got a problem with that 10b5-1 or whatever it is, and they're trying to figure out how we could do it, but that's the first reading of it.
 And the other alternative is some kind of a pooled stock purchase plan to just have -- go out and buy it out of the pool and do it through a broker. And I think that maybe has a chance. And we're trying to refine the details of that transaction. We're willing to try to do that. It's limited by volume. It looks like it's probably in the 5,000, 10,000 share a day type transaction based on the volume we have. So that's kind of a small thing, but it would be a steady thing if we could do it.
 The other question, we had a call from someone wanting to buy a number of shares from the company, and our position there has got to be that we aren't in the stock brokerage business and we've got -- we refer all of those kind of calls to the brokers that sell the stock going to market, and we can't really be in that business. So that's the position we're taking, and I think that is the correct position according to the attorneys.
 And we -- the other item that we need to discuss there is since the last call, the -- let's see if I get it right here, the OT -- we were OTCQB listed, and now, we're OTC Pink sheet listed. And the statistics that I see on our Pink sheet listing are better than we were getting off the QB. But anyway, we want to make sure everybody knew that, just happened in the last couple of weeks, I guess. And we didn't think we should invest an extra $10,000 or $15,000 in fees just to be listed on the QB when all the information was available to everyone anyway. So we do comply with -- we could probably be listed on any exchange we wanted to, especially -- even NASDAQ if we had the stock price. But we don't have the stock price and we do [indiscernible] consistent with all of that registration.
 So with that, that's basically the feedback on those items. 
Craig D. Stewart: One thing to clarify on the -- from what we understand on the listing difference between OTCQB and OTC Pink is that it doesn't change the way the shares are traded. So everything outside of what you're going to see, if you go to Yahoo!, I think it shows OTC other instead of OTCQB now. So it shouldn't be -- it shouldn't change anything in terms of the way the stock is traded. 
Clark D. Stewart: The only other thing is, usually, someone asks about our approach to buying out our partner. That's still active and current. We also need to be very careful with any repurchase program because the bank basically has to approve it. And we don't want to jeopardize our ability to make that acquisition if we can do it. So we're kind of -- need to be careful with how we approach the buyback situation because of the significant --
 [Audio Gap]
 So that's where the situation is, and I guess we're ready for questions. Tad, do you have anything? 
Tad McMahon: No. 
Clark D. Stewart: Everybody's good here. David, so let's have some questions. 
David Drewitz: Erica, let's turn it over to questions, please. 
Operator: [Operator Instructions] Our first question comes from Tim McMillan [ph]. 
Unknown Analyst: A couple of things. In the last phone conference, you pretty much indicated going forward that you thought we would perhaps earn a minimum of $0.01 a share and maybe some quarters, $0.02. Do you still have that optimism as far as defining what earnings look like [indiscernible] quarter in the next several quarters? 
Clark D. Stewart: Tim, I'm looking at my notes, and I don't know that we have -- we're hopeful that we could earn $0.01 a share this quarter. We didn't do that. And we've maintained the backlog and keep everything moving. We probably can do it. However, our problem is, our casino revenue is -- you can see that that's about $0.5 million less per quarter than we'd like to have, our earnings from the casino. So that's keeping us from doing it and we're working to improve that. But like I say, we suffered through the drought and all of this other stuff. Now it's rained, the farmers are now in the field planting the crops. Who knows how the business is going to hold up? It didn't do bad in August. So we're hoping we can keep September together, and we just got to get the thing on a growing basis, and that takes an awful lot of marketing. So we're spending a lot of money on the marketing, and that's probably worth more of a [indiscernible] like to. But that's what's happening. 
Unknown Analyst: Your busing program, is it still picking up some steam? 
Clark D. Stewart: Yes, it's still working and it's growing and we're having more requests for buses. It's a matter of whether can we get the bus -- physically get the buses range forward [ph]. So we've been going around meeting with these various -- I mean, marketing-type meetings where we visit with our customers and new customers in cities all over Western Kansas, Oklahoma, Texas and Colorado. I don't know, I don't think she's been to Nebraska yet. But all of those places are important and significant, and we have very good feedback from those meetings. And we're developing real loyalty to some places where we think busing would be important is not and others where we never realized they wanted to be bused is a major demand. So we're learning and we're -- bus operators are not dime a dozen in Western Kansas. So it's hard to find somebody that can do it. But that's what we're working on, and yes, that would take a while. 
Unknown Analyst: The Valley suit that we won here a while back, do you see them coming to the conclusion on that and receiving payment here in the near future? Or where do you stand with that? 
Clark D. Stewart: I don't know, Tim. I don't think it's going to be in the near future. They did appeal the case. So your legal system and my legal system is in operation, and I would guess a year to 18 months maybe at best. I don't know. The answer is, I really don't know, just guessing. 
Unknown Analyst: But they're being bought out. So is there maybe some hope that the acquirer might want to have that all cleaned up or is that just conjecture? 
Clark D. Stewart: Theory, but I don't have -- I can't support the theory because I don't know anything about it. 
Unknown Analyst: Okay. And -- but you see the aircraft pretty steady then, Craig? And we should be somewhere between $4 million and $5 million a quarter, is that what I'm hearing you saying? 
Craig D. Stewart: Yes, I think that's a pretty good run rate for the Aerospace business. If we have a good quarter, it might be a little higher. If we run into some issues or don't have as big orders as what we're seeing right now, it might be a little bit lower. But we're seeing good demand. The amount of response we're getting through our sales efforts, both domestically and internationally, are strong. There are some projects that are grouped in South America that Christian and Aric have been working for a while, are starting to pan out a little bit, which sometimes, the sales cycles on some of these in South America are 2 to 3 years. But they hang in there and keep fighting the fight and eventually, they come through. So they're doing a great job of continuing to push the product in our international markets, as well as domestically. 
Clark D. Stewart: Yes. The other thing, Tim, you need to remember that while you may -- yes, you know, that these orders have a great deal of labor in them is what we contribute. And then, on certain ones, we will provide the equipment. And in that case, the equipment, in a lot of cases, is worth more than the airplane. So you'll see jumps in the revenue without necessarily reap [ph] 30% margin because that equipment, we don't make that much money on it, but it generates a whole lot of revenue and a whole lot of cost of goods sold. So you're going to have that -- you're going to have those swings in the backlog number and also swings in the revenue number. And it really depends on how much we get as a contribution after the cost of sales. So I think that we don't want anybody to believe that that's an ongoing leveled stream of revenue. It's not. It's a -- one customer will say, "I want you to buy $5 million worth of equipment for my airplane," and the next guy says, "I just want you to install -- I'll install it when I get it back to my country." So those are 2 different things. We put the provisions in and wire it and do all that stuff. But as far as actually having each one of them, we buy a set package of equipment. That isn't how it works. So it's a -- each airplane has a custom design for a special-mission purpose. 
Operator: [Operator Instructions] At this time, I have no further questions. 
Clark D. Stewart: All right. Well, thank you, everyone, for taking your time this morning. Again, we apologize for being a little late. Mother Nature was not on our side this morning. So we appreciate you taking the time to do this, and thank you very much for your support of Butler National Corporation. Thank you. 
David Drewitz: Thank you, everyone, and have a great day. 
Operator: This concludes today's conference call. Thank you for attending.